Bertrand Dumazy: Good morning, everybody. Thanks for being with Virginie, the Edenred CFO and myself for the Edenred 2025 results. We are together for the next 90 minutes. So first part is the presentation of our results. The second part, we will be pleased to answer any questions you may have. In the executive summary, there are 5 message I want to share with you. First of all, yes, 2025 was a year of strong commercial and operating performance. Second message, we exceeded the guidance 2025 in terms of like-for-like EBITDA growth and free cash flow generation and free cash flow conversion. Third, yes, thanks to those results, we are able to post some strong shareholders' return. My fourth message is you know the Edenred growth equation. It's a very simple equation. We are looking for more users and more value per user. Finally, 2026 will be a rebasing year before renewed sustainable and profitable growth in 2027 and 2028 with a growth of between 8% and 12% of our EBITDA like-for-like for 2027 and 2028. With those 4 messages, now let's go into the details, and I propose that we move directly to Slide 6. Edenred delivered a strong operating and financial performance in 2025. Our operating revenue has been growing at 6.2% like-for-like versus 2024. Our EBITDA has been growing at 11.2% like-for-like versus 2024, which is above our guidance set at more than 10% growth like-for-like. Our EBITDA to free cash flow conversion has reached 82%, which is an increase of 12 points as compared to 2024 and which is vastly above our guidance of more than 70%. Finally, our adjusted EPS is reaching EUR 2.59, and it means an increase of 10% versus 2024. So now let's look at the breakdown of this growth in terms of operating revenue. As you see on the left part of the chart, we have been growing at 6.2% like-for-like. And in fact, if you exclude the impact of the Italian regulation, the 6.2% would have been 9.1%. Where does the growth come from? First of all, in Mobility, representing about 26% of our operating revenue, we have been growing at double digit, 11.7%. In Benefits & Engagement, which represents 64% of our operating revenue, we have been growing at 5.9%. And finally, in Complementary Solutions, with all the work we have been doing on the portfolio, we have a negative growth of 4.6% in 2025 versus 2024. Now if we look at the breakdown of the operating revenue per geography, Europe representing 60% of our operating revenue has been growing at 1%. In fact, if you exclude the Italian regulation impact, the growth would have been 4.5%. Mobility -- sorry, Lat Am has been growing double digit at 13.2%. And finally, the Rest of the World has been also growing at double digit at 16.8%, the Rest of the World representing about 30% of our operating revenue. In fact, this strong commercial performance is translating into solid revenue and EBITDA growth. So the total revenue has been growing at 5.7% because of the Other revenue that has been growing at 1%. And finally, in terms of EBITDA, the growth of EBITDA in 2025 is 11.2% like-for-like without the impact of the Italian regulation, this growth would have been around 16%. So what does it mean in terms of profitability? What you see on the 2 charts on the left, first of all, we have been increasing our operating EBITDA margin significantly by 280 basis points, moving from 39.1% to 41.4%. And as to the EBITDA margin, once again, the same story, i.e., a strong increase of our EBITDA margin by 230 basis points, reaching 45.9% in 2025. Another point to notice, we have an acceleration of our intrinsic operating revenue growth in H2. When you look at the graph in red, what you see is the first half of the year, a growth of 7.1%. The second part of the year, acceleration in Q3 at 8.2%. And then due to the Italian regulation, a growth at 2.7%, leading to a full year at 6.2%. There is another way to read it to understand the intrinsic growth of Edenred. Without the Italian regulation, the growth in Q3 would have been 9% and the growth in Q4 would have been 9.7%. That's why we are saying that we see an acceleration of the intrinsic revenue growth of Edenred, which is, in fact, a very good sign for 2026, but also for the years after. Then if we move to the EBITDA growth, you see also an intrinsic acceleration of the EBITDA growth. So when you read it, 14.4% in H1, 8.3% in H2, leading to 11.2% for the full year. If you exclude, in fact, the Italian regulation, the growth would have been 16.5%, so for the entire year, 15.6%. So now let's move to how did we reach this level of EBITDA and this level of EBITDA margin. In fact, part of the answer is into our Fit for Growth program. You remember, we shared that with you. It's a program that is in 2 phases. The Phase 1 was between the end of 2024 and 2025. In fact, we launched and we set up the Fit for Growth program, and we got some quick wins in 2025. So we have more workforce efficiency. We have been renegotiating the suppliers and distributors contract, and we did some IT internalization, which creates, in fact, more efficiencies. That's why you see our level of OpEx like-for-like growth at plus 1.3% in 2025. Then the question is what does it mean for 2026 and beyond. In fact, based on the acceleration of our growth, we are totally convinced that Edenred is set for the future. That's why we will accelerate our strategic investments, especially in sales and marketing and data and AI because AI for Edenred is a plus and only a plus. That's why we want to accelerate our investments. And the second thing is to generate some efficiencies in 2027 and 2028, we will accelerate our platform convergence that is going to give us scale, but also best-in-class customer journeys. The second thing we will do in 2026 is the standardization and the streamlining of our support function. So after a growth of 1.3% in terms of OpEx like-for-like, we're going to accelerate our OpEx level in 2026 to prepare for the next 3 years in terms of EBITDA generation. The other thing we shared with you as to what we will -- what we wanted to put in place in 2025 is, in fact, what we call a performance and product improvement plan. This plan is made of 6 key actions: 4 to improve the top line growth; and 2, which are about the portfolio review. If I start by the first 4 to improve the top line growth, first of all, we said we want to revamp our offer in terms of gifting, especially with the Edenred Plus new platform. And in fact, we did it and it works because when we look at the results of the European gift business volume, we have a growth of circa 10% in Q4 2025 versus Q4 2024. Why Q4? Because it's the peak season of the gifting for Edenred. The second thing we shared with you is Edenred Finance. You remember that we lost a big client in Romania, but we have a unique position. So we revamped our offer. We accelerated our investment from a sales and marketing point of view, and it works because, first of all, we are very pleased to share with you again the signature of our partnership with Shell in Q3 2025. And when you look at the growth in Q4, the growth has been more than 20%. The third action in terms of improving the top line is to work on CSI. CSI, which is our corporate payment solutions in the U.S. We decided to refocus on key verticals and business excellence, and we start seeing the benefits of these focuses in the last month of December with a growth that was between 5% and 10%. Finally, in terms of incentive, it was time for us to revamp our digital offer. We did it. And in fact, in Europe, we see a growth now on this product line of more than 10%. The second part of the plan is our portfolio review. 2025 was a unique occasion to question ourselves on where do we want to accelerate and where do we want to, in fact, to stop or work differently. As to the PSP, so the public social program, we review our entire European portfolio. It's completed, and we are now focused on the most profitable programs. As to the BaaS B2C, BaaS, meaning Banking as a Service, we decided to leave that segment, the B2C one to be focused on the B2B one. And for us, it's a derisking through this progressive exit, and it's done. We are on target. We still have a few things to do for the first half of 2026. But we can consider that the effort is behind us, and it's going to have a positive impact on the profitability and the derisking profile of the group. So based on all those elements, a solid growth on the top, a very good control of our OpEx. We -- and so a good generation of EBITDA. The impact on the free cash flow is an increase of 34% in 2025. So it's based on the record FFO generation, funds from operation. So it comes directly from the EBITDA, but also our activity in benefits is working well. So we have a float increase. And thanks to Virginie and her team, we increased our discipline in cash collection. That's why you see the EBITDA to free cash flow conversion rate moving from 70% to 82%. Based on this strong generation of free cash flow plus a strong return to shareholders through dividends and share buyback for a total in 2025 of EUR 463 million, we are able, in fact, to decrease significantly our net debt. The net debt has decreased by 31%. That's why our leverage ratio has moved from 1.4x to 0.9x. At Edenred, not only we are working on the economic performance, but also the extra economic performance, and we are very pleased to post excellent results on that on our 3 pillars: People, planet and progress. Just to take one of them, our greenhouse gas emission reduction on Scope 1 and 2 versus the point of departure 2019 has been now reduced by 31%. And in fact, all those efforts have been recognized by leading ESG ratings. To name a few, we received the gold medal for the first time with a 5-point increase by EcoVadis. Or if you think about the S&P Global, we increased our score by 6 points, and we are now a member of the Sustainability Yearbook. When I say now, in fact, for the fifth year in a row. So after having gone through the results of 2025, economic and extra economic. I propose that I share with you a quick update on our new strategic plan called Amplify, Where do we stand on that? You remember, Edenred has a strong and unique value proposition. We are serving 1 million corporate companies. We have 60 million users, and we are driving business traffic for merchants via 2 million merchants. What does it mean? 1 million companies. It means that on Benefits & Engagement, we propose solution for HR directors to answer the equation, attract, engage and retain, but also solutions for fleet manager to manage their fleet and optimize their TCO, but also to organize the transition to electrical vehicles and reduce the CO2 emissions. As to the 60 million users, we propose mobile-first solutions for those users to increase their purchasing power and to have in mobility hassle-free drive. As to the merchant, 2 million of them, we increased traffic and loyalty, and we propose to them a very efficient cost of client acquisition. So that's our strong and unique value proposition. And to be able to do that and to amplify that, we have, in fact, a very unique and unrivaled asset to pursue the growth. First of all, remember that we are the leaders of our industry and our relative market share is very high. Second thing, we have the deeper portfolio on earth as to benefits and engagement, but also mobility. Third, we are the only player who is able to process internally the business volume with more than 90%. So this mission-critical infrastructure is very distinctive versus the competition. We are the best orchestrator you can find on our EBITDA growth. And we are also the biggest player as the leader. So our investment capacity are very strong. In tech, OpEx and CapEx, we're able to invest more than EUR 500 million per year to prepare and to amplify the growth. We are very efficient in terms of go-to-market. And also, we have a very resilient and recurring revenue model. Only one number, our net retention rate in Benefits and Engagement in 2025 is at 104%. So with those assets, we also have a very diversified portfolio of solution. As you can see, Benefits & Engagement, 64%; Mobility, 26%; Complementary Solution, 10% of our total operating revenue. In this diversified portfolio of solution, as you can see, what is, in fact, beyond the core, which is the core fuel and the core meal and food, it represents now 42% of our total revenue, i.e., the diversification of Edenred is well in place and is amplifying. Then if we go even deeper, you realize that the largest client we have represent less than 1% of our business volume. The largest merchant represent less than 2% of the redemption volume and the largest program we have, i.e., a country and a solution. So the combination of both represents about 10% of our operating revenue. So it's a super diversified portfolio of solution. If we focus once again on meal and food, as you can see, Brazil, Italy and France represent 27% of the total group operating revenue and the rest of the meal and food represent, in fact, 15% of our total revenue, but spread out of 24 countries. As I said, the diversification of Edenred is amplifying. Another way to look at it is beyond the core meal and food and the core fuel, what is the percentage of the total operating revenue it represents. In fact, Beyond Food has moved to 34%, increasing by 1 point and Beyond Fuel has increased by 2 points, moving from 31% to 33%. Now if I take, in fact, one second on the situation in Brazil as to the presidential decree. Here, you have a chart explaining, in fact, the legal track to help you reading this chart and to make it very clear. First of all, a presidential decree was, in fact, signed on the 11th of November. As we said, Edenred went for a legal action and Edenred won the first legal action. And so the presidential decree is suspended. As expected, the government went for an appeal in front of the Federal Tribunal, and we are waiting for the answer of the Federal Tribunal. Here, there are 2 options. If Edenred wins, the government has many opportunities to go for an appeal, an appeal that could be suspensive or not of the presidential decree. But if Edenred is losing in front of the federal tribunal, then the appeals of Edenred will not be suspensive, and we will wait for the second legal track, which is the judgment on the merits and the judgment on the merits will not happen before the end of 2026. What does it mean? It means that, in fact, we will know better by the end of the year at best. And in between, many things can happen in terms of implementation or not of the presidential decree. That's why our guidance 2026 is based on a worst-case legal scenario. Another way to say it, the minus 8% to minus 12% for 2026 is based on the fact that the President of the Federal Tribunal is asking for the implementation of the presidential decree. And to stop the implementation, we will know it only by the end of the year. So as I said, many things can happen. Today, the decree is suspended. It could be reinitiated or not. And whatever they or not, the final decision will be by the end of 2026 at best. So let's go back to our growth equation. Our growth equation is very simple, more users and more value per user. More user, it means attract more clients and users on the Edenred platform, 50% to 60% of our growth for the coming years. More value per user, 2 levers, enrich and activate, enrich between 30% and 40%. Behind enrich, 2 levers, upselling and cross-selling. As to activate, that will represent between 10% and 20% of Edenred growth, activation is really the monetization of our very qualified user base, but also new services for the merchants. That's the very simple and magic growth equation for Edenred. So now if we go into the details of those 3 levers, and we start with attract, which is about 50% of the future growth of Edenred. Yes, we have been able to accelerate our client acquisition in 2025. How did we do it? First of all, we reinforced our digital acquisition. So we have more and more digital lead generation and AI automation for sales processes. What does it mean? Our level of SME users in 2025 has increased by more than 700,000. So the engine is in place and the engine is amplifying week after week. The second example I would like to share with you is the ability to extend our customer reach. What does it mean? Edenred is selling directly its solution via the very unique platform, but is also now using more and more distribution partner. So I take the example in mobility. Now our solutions are distributed by Daimler, by Man, by Shell for the financial services or by Arval, a leasing company for the maintenance services. What is true in mobility is also true, in fact, in benefits. Here, we take the example of Brazil, where our solutions for toll payment, in fact, are now, in fact, distributed by Nubank, the first e-bank in the world, but also some other banks, in fact, in Brazil, like Ater, CCredit or CCOB. To make a long story short, our network of indirect distribution partners has increased by 30 in 2025 versus 2024. So we amplify our extension of the customer reach, and there will be more to come in the next years. The second lever of Amplify is enrich, enrich with 2 levers. The first one is cross-selling. The second one is upselling. Here, you have the example of what we did in Brazil. You remember, we made the acquisition of RB. RB is a ticket transport provider. The offer of RB is now integrated on the Edenred platform, and this integration has allowed for more cross-selling on our customer base. And so the RB total revenue growth in 2025 has been circa 60%. It's an example of what we can do in cross-selling. The other lever we have is upselling. Upselling, what does it mean? It's to translate the maximum legal face value increase into users' benefits. What has happened in 2025, if we look at portfolio of ticket restaurants around the world, we had more than 40% of the business volume that has been positively concerned by a face value increase. And in fact, this momentum is going to accelerate in 2026 because as of today, the ratio is not more than 40%, but the ratio is more than 50%. And to give a few examples, in Italy, the Italian government decided to increase the face value by 25%. It has not happened for the last 6 years. In Belgium, the government has decided to increase the legal face value by 25%. Nothing has happened on the legal face value in Belgium for the last 10 years. And in Romania, the government decided to increase the legal face value by 12.5%. So as you can see, the upselling engine of Edenred based on face value increase, notably is going to work well for the years to come because it takes about 2 years to benefit from 85% of the legal face value increase. So we know that this growth engine will amplify in the coming years. Finally, the last lever is activate. So the idea is provide more services to our merchants and better monetization of our very qualified user base. You have an example of a retail media campaign that has been done by Reward Gateway, the engagement solution of Edenred. And we see the first very encouraging results. Our retail media revenue has been growing by more than 30% in 2025. So to conclude, we can count on an enrich revenue model because, in fact, our model is based on solution-based fees, but also nontransactional fees and some new revenue streams that are coming from our platform for our user activation and our merchant services. The combination of this enrich revenue model with, in fact, the 3 levers I shared with you before, is putting Edenred on its way to increase the average revenue per user, which is at EUR 45 in 2025, up to EUR 70 in 2030. And as a reminder, what are the growth drivers of this average revenue per user. It's going to be upsell, it's going to be cross-sell. It's going to be our mix of solution, our portfolio diversification, but also some M&A that we can do. A good example was the RB acquisition in ticket transport, another benefit for the Brazilian worker. Finally, a quick point on data and AI. Data and AI is only a plus for Edenred. And because it's only a plus for Edenred, we're going to increase our investment in data and AI by multiplying by 6 our annual data and AI investments during the course of the Amplify plan. Here, you have 2 examples of a concrete application of the AI at Edenred, concrete application within the services we propose to our clients and our users. On the left part, now we are able to propose an AI augmented customer journey. It's called EdenHelp. It's powered by, in fact, the leaders of AI in the world like Agentforce and Zion. And it allows us and the user to benefit from hyper personalization and an unrivaled customer service. And by the way, we won, in fact, an award on self-care and chatbot services in 2025. Another example is our engagement solution in Latin America in 5 countries. It's called GOintegro. Now if you are a user of GOintegro, you will not be alone. You will have your everyday companion. It's a virtual HR agent, but you will also have an AI agent to help you in the content moderation. So the AI revolution is on its way at Edenred. And as I said, it's only a plus for our clients and users. That's why we increased our level of investments. Thank you for your attention. It's now time to go into the detail of our 2025 financial performance under the leadership of Virginie.
Virginie J. Duperat-Vergne: Thank you so much, Bertrand, and good morning, everyone. Let's dive into our Edenred '25 detailed financial performance. So first, starting here, you can see that we delivered EUR 2.961 billion of total revenue in '25, growing 7.6% like-for-like if we exclude Italian change of regulation impact. All in all, with a negative foreign exchange impact of minus 4.6% weighing on our total revenue growth, reported growth is at plus 3.7%. Operating revenue amounted to EUR 2.7 billion and reflects 8% like-for-like growth when we exclude the Italian new regulation. Foreign exchange impact on our 2025 operating revenue was a negative minus 4.3% offsetting a positive scope effect of plus 2.9%, which reflects the contributions of the recently acquired activities, mainly Transport voucher in Brazil, the IP Fuelcard energy activity in Italy. And all in all, this resulted in an as published growth of plus 4.7% for the year '25. Now regarding other revenue, we recorded EUR 229 million in '25, showing a minus 7.1% in reported figures, but this is a 1% growth in like-for-like. Foreign exchange effect was a negative minus 8.1%, and it reflects mainly the evolution of Latin American currencies on our other revenue. Now in Europe, overall, on this page, you can see that operating revenue in Europe amounts at EUR 1.6 billion, and it represents 60% of the group operating revenue. In '25, operating revenue in Europe grew 3.4% as reported and 1% like-for-like, benefiting from a positive scope effect due to the contribution of the acquired IP Energy Cards business in Italy. Zooming on Q4, Europe operating revenue was at EUR 433 million and decreased minus 3.4% on a like-for-like basis. that reflects mainly the impact of the Italian meal voucher regulatory changes. Excluding this impact, European performance would have been an 8% like-for-like growth, confirming the improvement observed since the second quarter of '25. Zooming in France, we delivered EUR 363 million of operating revenue in '25, up 0.5% like-for-like on a full year basis. In the fourth quarter, operating revenue was stable, down minus 0.2% like-for-like. Mobility confirmed its strong sales momentum with double-digit growth over the quarter, led by rising demand for electric vehicle charging solutions. Meal & Food delivered steady growth with good commercial development in challenging macroeconomic conditions and the year-end gift campaign was boosted by the new digital offering. Meanwhile, this performance was offset by the tail end of the cyclical downturns in software solutions. In rest of Europe, Edenred delivered 8% growth in 4Q '25, excluding the new regulation in Italy on the back of a good performance in Southern countries and in Germany with the Ticket City solution. Mobility also benefited from a good commercial traction in Italy with IP and with Beyond Food solutions with Edenred Finance, for example. Our recent partnership between Spirii and Daimler on electric vehicle demonstrates the relevance of our solutions. Then finally, as regards to complementary solutions, we had lower revenues on Romanian public social programs and the ongoing exit of Banking-as-a-Service B2C activity that Bertrand mentioned earlier is still in our like-for-like computations and continue to weigh negatively on the growth. In Latin America now, if we dig into our performance, we see operating revenue up to EUR 826 million in '25, representing 30% of the group operating revenue. This Edenred region has been robust and resilient all year long, delivering double-digit growth both in 4Q and in full year. Brazil delivered good level of growth in meal and food, but it's worth to mention that our Beyond Food activities also propelled this good performance with our employee ticket transport solutions, for instance, RB, that delivered 60% total revenue growth in 2025. On Mobility, both Fuel and Beyond Fuel solutions delivered solid level of growth in Brazil and emphasize the relevance of Edenred diversification in the country. Hispanic Latin America delivered a lower growth with 2.3% like-for-like in Q4 on the back of a high comparison basis in Benefits and Engagement due to strong Mexican performance last year. In the regions, the performance remained strong, supported by favorable dynamics in mobility, growing double digit as demand remains robust for Beyond Fuel solutions, notably in Argentina and in Mexico. Other revenue. Now other revenue was better than anticipated. We can see that we started the quarter with a boosted higher volume in float, interest rates remaining higher for longer, and we faced a less detrimental effect of currency translation. And overall, we delivered EUR 229 million of other revenue, which is slightly above our latest expectation of around EUR 220 million. Indeed, with higher business volume in Latin America and interest rates, notably in Brazil, all this led to a 7.2% like-for-like growth in 4Q versus last year. Overall, despite a less favorable interest rate environment, especially in Europe, where most of the float is located, other revenue are up 1% like-for-like. This performance reflects the group float increase generated by higher issue volume. What does it mean for '26? For '26, we expect other revenue to have lower dynamic because of interest rate decrease and just notably in Europe. We remain though confident with the EUR 210 million floor that we gave you at the Capital Market Day, knowing that the Brazilian decree needs to be taken into account as an additional computation to that number. Now a little bit of view on our P&L. That illustrates the increase in profitability that Edenred achieved in '25. Operating expenses growth remained really contained at 1.3%. Indeed, scale effect of our per platform and the first milestones of our Fit for Growth program that Bertrand talked about previously, have been instrumental to enhance the group profitability. The group delivered an operating EBITDA of EUR 1.131 billion, corresponding to an operating EBITDA margin of 41.4%, increasing 2.8 points like-for-like in '25. EBITDA was EUR 1.360 billion, and EBITDA margin was at 45.9%, increases by 2.3 points versus last year. Now on this page, you have a detailed view of our P&L that led us to the solid increase of the adjusted EPS by 10% in '25. And if I comment quickly on each line to give you a little bit more color. First, on D&A, you can see an increase, which is in line with our CapEx regular increase. And moving forward, you'll see D&A continue to increase in line with CapEx growth. PPA-related D&A increased in '25 due to the finalization of the purchase price allocation exercises relating to Spirii, RB and IP acquisitions that we acquired in '24. As the group has not made any additional big acquisition in '25, this amount should remain relatively stable year-on-year. In terms of other income and expenses, we were at EUR 46 million this year, and that merely reflects the restructuring cost that we incurred, notably on the back of our portfolio optimization actions. On the tax rate, tax rate was up in '25 as our normative tax rate reflects our geographic mix with a higher share of Brazil, offsetting a lower Italian contribution. We do not expect Brazilian contribution to significantly lower next year as a lower contribution will be partly offset by the expected tax rate increase in that country. Number of shares continue to decrease in line with the execution of our share buyback, and we bought back EUR 125 million over the year. Minorities interest are growing in line with the increase of profitability of the group, and our EPS is EUR 2.18 for '25, growing 5.7%, while our adjusted EPS stands at EUR 2.59, growing 10% year-on-year. Record cash flow generation. Our cash flow was EUR 1.111 billion, up 34% versus last year. And if we look to how our cash flow is built, you'll observe once again that the EBITDA to free funds from operation conversion rates remains the main and constant constituent to the free cash flow generation of Edenred. Looking to balance sheet movements. The material improvement on working capital variation is coming from the increase in float, reflecting higher business volume in Q4, especially in Latin America. Our other working capital benefited from cash collection discipline in mobility, a good momentum in VAT reimbursements coming from the European tax administrations as well as the positive effects coming from the portfolio optimization actions we undertook last year and notably some public social programs not weighing anymore on our balance sheet. CapEx are at EUR 198 million for the year '25, down EUR 20 million year-on-year, thanks to our technology cost renegotiation efforts. And overall, CapEx represented 6.7% of our total revenue, well within our 6% to 8% range. As a result, free cash flow to EBITDA conversion rate was a strong 82% for '25, up 12 points versus last year. Let's have a look now on our net debt position. We started '25 with EUR 1.8 billion net debt and the leverage ratio, which has been now lowered from 1.4x end of '24 to 0.9x end of '25. This leverage improvement results from the strong cash generation, slightly offset by the shareholders' return, which amounts to EUR 463 million in '25. We then closed the year with a net debt position of EUR 1.2 billion. This gives us full flexibility on our capital allocation and illustrates our fast deleveraging profile. Now moving to our robust financial position. We do have a strong liquidity position with EUR 5.2 billion as current financial assets, a debt well spread over the years and the access to an undrawn credit facility of EUR 750 million. Moreover, our A- rating with stable outlook has been confirmed by S&P at the end of November '25 again. As you may have seen, we successfully issued a EUR 500 million bond earlier this year with a 7-year maturity, a coupon of 3.75% and an order book more than 3x subscribed, showing the confidence of bond investors into Edenred's credit quality. This refinancing increases our average bond maturity to 4.1 years. Overall, we decreased the cost of debt down to 3.3%. If we move now to capital allocation, which is focused on both growth and shareholder returns. First, growth remains our top priority. We plan to invest and pursue organic growth initiatives to deliver the Amplify plan with annual CapEx between 6% to 8% of our total revenue. Second, we want to take advantage of our solid balance sheet to seize value-accretive M&A deals and be opportunistic while maintaining strong focus on strategic and financial discipline. We focus on key deal considerations such as further consolidation, opportunities to accelerate our Beyond strategy and further diversify, strong potential for revenue synergies as well as sustainable business models. Now in terms of shareholders' return, we will propose to the shareholders a dividend on EUR 1.33 per share for 2025, which is a 10% increase compared to '24. This material increase is in line with our progressive dividend policy and reflects Edenred's confidence to continue to deliver sustainable and profitable growth in the long run. We continue to execute our current share buyback extension program of EUR 300 million, out of which EUR 125 million have been already executed during the year '25. And finally, we remain committed to maintain a strong investment-grade rating with our A- S&P rating reaffirmed in April and November last year. Last page for me, I want to show you the Edenred 2025 performance presented under the new reporting structure by business line that we announced during our Capital Market Day and which we will fully use starting 1Q '26. This enhanced reporting structure will provide operating revenue, operating EBITDA margins for each business line. And as a consequence, business lines become our prime segment reporting geographies moving to the secondary dimension. This change also includes limited scope adjustments between business lines that you can track in the appendix of the presentation. As shown on the page, Benefits and Engagement and Mobility have similar operating EBITDA margin at 43% and 40%, respectively. And these are both in progression compared to 2024. As for Payment Solutions and New Markets, operating EBITDA margin is at 29%, up 9 points versus last year on the back of all management actions that have been undertaken in '25. I'd like to thank you for your attention, and I now hand you back to Bertrand for the '26 outlook.
Bertrand Dumazy: Thank you, Virginie. So a few words of conclusion as to the outlook for 2026 and beyond. So first of all, yes, 2026 is a rebasing year for Edenred. Intrinsically, the EBITDA growth will be between 8% and 12% like-for-like, and it's going to be powered by 2 engines. The first one is the total revenue growth, but also the structural operating leverage we are able to generate, thanks to the platform. However, in 2026, we have to rebase based on one thing, which is the impact of the regulation change in Italy and Brazil. It's going to impact negatively in 2026, our EBITDA growth. Then we are going to accelerate our investments to achieve, in fact, the management actions and the portfolio optimization we talked about. And finally, as explained by Virginie, our overall revenue will decrease slightly outside the regulatory change in Brazil, and it's going to be probably the last year because our float is increasing, and we are moving towards a stabilization of the interest rates. The combination of all those elements, an interesting growth of 8% to 12% plus the regulatory change will lead to a guidance for 2026 between minus 8% and minus 12% like-for-like. Once again, as to the Brazilian impact, we took the worst legal case, i.e., an implementation of the presidential decree. Then based on that, what does it mean for beyond, i.e., 2027 and 2028, back to the growth of Edenred between 8% and 12% starting in 2027 for the EBITDA like-for-like growth and the free cash flow to EBITDA conversion rate after the regulation impact in 2026, we are back to the 65% and more in 2027. To make a long story short, what are the key takeaways of the 2025 results, our Amplify plan, 4 messages. First of all, 2025 was a year where we are able to post a new set of record results from the top line to the EPS. Yes, we are able to generate sustained revenue growth with an acceleration in the second part of the year, which is a very good sign for 2026, but we are also benefiting from our structural operating leverage. We are a platform business. It's the scale business. The more we grow, the more we are able to generate increased margin. The second thing is, yes, we see in 2025, the first effects of our performance and product improvement plan and all the efficiency measures we took, the constraints creates the talent. Finally, we are a highly cash-generative business, and that's why we have been able to post strong cash generation in 2025. What does it mean? It means that based on all those elements, 2026 is a rebasing year before we resume sustainable and profitable growth trajectory starting in 2027. We will mitigate the impact of the regulatory step back, thanks to our very diversified portfolio. We will continue and amplify our management actions to deliver further efficiencies. And finally, we know that we can count on our product and tech leadership in large to continue to grow on vastly underpenetrated markets. Based on our results in 2025, we have been able to reinforce our fast deleveraging profile. And so we have a very strong balance sheet that leaves Edenred ample room for organic growth investments, especially in data and AI, but not only, also focused M&A opportunities while continuing our high level of shareholder returns in terms of dividends, but also share buyback. Based on that, we also have a long-term vision. This long-term vision is called Amplify with a magic growth equation that is simple, i.e., to increase the number of users and to increase the average revenue per user. And all those elements allow us to reiterate our ambition to reach EUR 5 billion of total revenue in 2030. Thanks a lot for having listened to us. And Virginie and myself, we are all yours to answer any questions you may have.
Operator: [Operator Instructions] The next question comes from Estelle Weingrod from JPMorgan.
Estelle Weingrod: To start with, can I just ask on Brazil. So thanks for the slide regarding the legal process ongoing. I just wanted to clarify a couple of things. So do we know how long it will take to hear back from the government's appeal? And in the meantime, the decree is suspended, so you are not implementing the decree, which should on paper start now. Is that correct? So that's the first question. And the second question -- sorry, there's 2 in 1, but then the second question, on CSI, you mentioned a good growth of 5% to 10% in December. What are you expecting in '26? And should we expect Complementary Solutions to remain in positive growth territory? Or we would still see some impacts from the actions you took last year?
Bertrand Dumazy: Okay. Estelle, thank you for your questions. I will take all of them. So first of all, the decision or, let's say, the decision of the federal body or legal body can happen any time now. So it can be tomorrow, it can be in a few weeks. So we are waiting the answer and the answer can be as early as tomorrow. In between, there is a suspension of the decree for Edenred and I think for 9 other issuers in Brazil. So we did not implement the decree. We are ready to implement it if the decision of the federal jury goes against the suspension. Your second question is as to CSI, yes, we start seeing a good dynamic, and we start seeing it as well for all the complementary solutions because 2025 was also a year of, let's say, cleaning our portfolio, especially in the BaaS B2C to derisk from this activity. So you can expect complementary solution to grow, in fact, in 2026. So I remind that in 2025, we are at minus 4.6% in terms of operating revenue. You will see some good growth in complementary solution in 2026.
Operator: The next question comes from Sabrina Blanc from Bernstein.
Sabrina Blanc: Yes. I have 2 questions for my part. The first one is regarding the cost efficiency. Can you provide more details about the 200-something improvement, if we could have more color by segment or by areas. And the second question is regarding the environment in France. We see that the growth was almost stable in Q4. But in the same time, you have mentioned that the gift campaign was very good in Europe. So just to understand what's happened in France and notably in terms of economic environment.
Bertrand Dumazy: Sabrina, thank you for your 2 questions. First of all, as to the cost efficiency, so OpEx growth of 1.3% in 2025, where does it come from? If you look at the, let's say, the OpEx structure of Edenred, 50% of our OpEx are payroll. And in fact, the payroll is the combination of the total number of people and the average increase. In fact, in 2025, we employed less people at Edenred than in 2024. And we worked on, let's say, salary moderation in 2025. But in fact, behind that, when we say we employ less people, in fact, around 30% to 40% of less people is coming from the synergies coming from the acquisition. So we talked, for example, about RB, Ticket Transporte in Brazil. We have a platform. They have a platform in Ticket Transporte. Obviously, there is cost synergies, and we implemented those cost synergies. And unfortunately, people that you employ are part of those synergies. So in fact, you have between 30% and 40% that are coming from the synergies. Then you have what we call portfolio rationalization. So for example, when you progressively exit from BaaS B2C. In fact, at the end of the day, in this division, you employ less people because we are exiting this activity. So let's say, between 15% and 20% of, in fact, those payroll stabilization is coming from what we call the portfolio rationalization. And then the entire Edenreders, so the employees of Edenred, we all made some efficiencies for everybody everywhere. It has been well balanced. And as I said, the constraint creates the talent. So 50% was, in fact, a work on our payroll coming mainly from the total number of people with the #1 driver, which is synergies coming from the acquisition and efficiencies and portfolio rationalization. Then you have, in fact, what we call the cost of sales. And in fact, cost of sales is about 15% of our OpEx. And basically, we renegotiated with some of our distributors new formula, but we also sold less hardware at Spirii that are, let's say, impacting in terms of cost of sales. So that's the reason why the cost of sales in percentage of our operating revenue has slightly decreased. And then you have the other charges. And here, the other charges are representing 35% of the total. The other charges in percentage versus the operating revenue went down. Why? Because we sat down with all our suppliers and we renegotiated with them or we readjusted our needs. When you think about our tech investments, we are buying a lot of tech from everybody around the world. And sometimes we have not been efficient enough in the past in terms of what do we need exactly, how do we use it? So we sat down, we reviewed the way we were working, and we have been able to renegotiate. So to make a long story short, 2025 was a very good year to work on our efficiency, whether on the payroll, the cost of sales, but also the other charges. Then you had the second question as to the environment in France. In fact, in France, everything goes well at the exception, as we said, of the software sales for the workers' council. So the ticket restaurant in France is doing well. The gift is doing well. The only blow we have in 2025, and we explained that in the past is we have a negative growth in software sales. And in fact, why? Because now you have a new, let's say, elective process in France, it's every 4 years. And it means that the year before the election, you will see, in fact, a huge increase of our software sales. And in between, it's more slow. So we expect the activity to rebound sharply in 2026 and even sharply in 2027. So for France, everything goes well, Ticket Restaurant, gifting, to name a few, but a big blow on software sales, but we will back on track. We will be back on track very soon and the rebound will start in 2026.
Operator: The next question comes from Hannes Leitner from Jefferies.
Hannes Leitner: Yes. I got 2 questions. So you called out that business volume exposure, meal and food are over 50% experiencing a face value increase led by Italy, Belgium and Romania. Can you maybe square that why shouldn't that give more confidence in '27, '28 targets given that those face value increases were only pending at the CMD. And then the second question is, if we calculate the Italian headwinds, they come up to EUR 10 million in Q3 and EUR 44 million in Q4. So slightly below your EUR 60 million indications. Should we expect that the balance now to the EUR 120 million is coming in 2026? Or should we just think that the same thing will be replicated?
Bertrand Dumazy: Hannes, thank you for your 2 questions. So first of all, as to the face value increase, yes, it gives us a lot of confidence in terms of upselling. And that's why there is a bracket between 8 and 12, the bracket was the same at the Capital Market Day. Then it depends on where we are going to be on the bracket. But it's true that, thanks to, in fact, those very good news in terms of upselling, it will have a positive impact on our guidance, but let's do 1 year after another. As to Italy, yes, we confirm that the total impact for the Italian regulation is EUR 120 million. And what I can confirm as well is as soon as it is swallowed, you will see double-digit growth in Italy in 2027 and in 2028.
Operator: The next question comes from Julien Richer from Kepler.
Julien Richer: Two ones for me, please. The first one on Reward Gateway. Could you please give us some details on its deployment and the impact of that deployment on the number of solutions per head and ARPU. And the second one on your dividend policy. If you look to 2026, let's assume a worst-case scenario where your reported earnings will be down, let's say, 10%. Do you still expect your dividend to grow in absolute terms in '26?
Bertrand Dumazy: Julien, thank you for your 2 questions. So I start with the dividend. We commit -- we have been committing for the -- for many years into progressive dividend policy. So you will see the dividend growing, in, in fact, 2026 paid in 2027. Now the question is the intensity of the growth, and it's a debate that we are going to have with the board and the proposal to the shareholders. But we are committed to a progressive dividend policy. So by definition, in absolute value, the dividend is going to progress in 2026. By the way, can we do it? Yes, we are a cash-generative company. We are fully deleveraged with a ratio of 0.9, and we are strongly confident in our ability to generate between 8% and 12% EBITDA growth like-for-like starting 2027. So that's why I'm able to answer like that. Then Reward Gateway, the deployment. The deployment is going to accelerate in France, Italy and we said France, Italy and Belgium. As I said, in 2025, we had very good successes in Belgium. In Italy, 2025 was a pause because we had to renegotiate 14,000 contracts in a few months. So when you do that, and I'm a great believer in the focus, when you do that, you have to make some choices. So 2026 is going to be the year of the extension of our engagement solutions in Italy. And in fact, in France, we have been pleased by the signature in the second part of the world of a few, let's say, large contracts with very well-known French companies. So we will see an amplification in 2026 on those 3 countries. What is the impact on ARPU? The impact, in fact, is going to be positive and also in terms of number of users because it's another point of entry to have access to Edenred solution. It goes one way and the other. You are currently an Edenred user and client and in fact, engagement is going to increase the cross-selling. So that's one way. Or the other way is you are not a user of Edenred solution and you enter into the Edenred world via the engagement solutions. And our goal is to satisfy you so much that, in fact, you will beg for the other solutions of Edenred on your digital application. So Reward Gateway, amplification of the deployment in France, Italy, Belgium with a specific focus on Italy and France because Belgium is well launched. And probably, we're going to also accelerate the deployment in Spain and in India in 2026.
Operator: The next question comes from Justin Forsythe from UBS.
Justin Forsythe: A few questions from me here. So thank you for the detail on Brazil. That was super helpful. Just wondering, is there a potential third avenue, which might be you settling out of court with the government. Are there any terms that you might find attractive, whether that's like a phased interchange cap, maybe not a day 1 move to this 3.6% or the 2% or anything else that would be attractive to you. It may be a delay in the 15-day settlement requirement or something of that nature that you might be interested in. Virginie, I wanted to ask a little bit about the free cash flow guidance. The 35% conversion. I think that at least by my math, implies over 60% decline compared to where you reported in '25. Now I understand that's inclusive of the Brazil regulation. So maybe that has something to do with your expectations around float in concert with the overall drop in EBITDA. But maybe you could dig into that a little bit. And just wanted to give you guys credit because RB seems like it's doing really, really well in Brazil. Maybe you could talk a little bit about how you expect penetration of that solution to go. Are you expecting higher attach rates with your corporate customers? Could you get to maybe close to 100% of those that are using a voucher solution in Brazil?
Bertrand Dumazy: Sorry, Justin, your last question was about what?
Virginie J. Duperat-Vergne: RB.
Bertrand Dumazy: About RB. Okay.
Justin Forsythe: RB. Yes.
Bertrand Dumazy: So I propose that I take the #1 and #3 and then Virginie, the #2 as to the free cash flow. First of all, is there a third avenue? Yes, there is a third avenue. That's why we were pushed to go for legal action, but the industry is willing to discuss with the Ministry of Labor, the Ministry of Economy with open arms to try to find a solution because at the end of the day, what is good for the workers is good for the industry. And what is good for the workers is 2 things. First of all, you have 20 million users of the PAT, so in Brazil. And in fact, when you look at the full potential, the full potential should be 40 million users. So what can we do together hand-in-hand with the government to accelerate the development of those solutions in Brazil. By the way, the main target is probably the SMEs. And when you look at our growth in Brazil in 2025, we have been growing at almost 15%, in fact, in benefits in Brazil. It is, in fact, the proof in the pudding that there's still a long way to go in terms of penetration, especially for the SME users in Brazil. Once again, we consider that full potential, there should be 20 million more. So based on this potential, yes, there is a third avenue to discuss because we want more users of the PAT in Brazil and the government has exactly the same, let's say, willingness. And the second thing is for the program to be sustainable, it has to be well filtered. And so well filtered, it's not possible at all with an open-loop solution. And it's complex. It takes time to explain. We need to reinforce our explanation, and it's part of the third avenue. So you are right, Justin. On one side, there is legal action. And on the other side, as usual, with Edenred, open arms to sit down and to say, okay, what is best for the workers, what is best for the program and how can we find a compromise. Your second question was about RB. Yes, Ticket Transporte is doing well and the level of cross-selling is still, in fact, below, let's say, 40%. So there's still a long way to go, knowing that Ticket Transporte is a mandatory benefit, in fact, in Brazil. So it has to be given by the employer. And we still have many employers who are giving this benefit, but not using yet the Edenred platform. That's why all our commercial efforts in terms of cross-selling will amplify because the potential is there. As to the free cash flow guidance, Virginie?
Virginie J. Duperat-Vergne: Thank you, Bertrand. So thank you, Justin, for the question. So sorry to do a little bit of mathematics guys, but maybe that helps. It's a ratio. So we have to look to both parts, the numerator and the denominator. And number one, you have one element which is touching numerator and the denominator at the same time, which is that next year, we will be impacted by some lack of revenue and then EBITDA, obviously, in -- coming from Brazil and from Italy. But in addition to that, and that's not helping the ratio, definitely, our numerator is even more hit than the denominator is because of the elements coming from working capital variations and the lack of float effectively, as you noticed, Justin, that will be hitting us. And that has an impact quite sensitive on the calculation of the ratio. So to help you a little bit on that, as we said, we are moving from a guidance to 2% to 4% before the announcement of our new decree in Brazil down to minus 8%, minus 12%. That gives you an idea of the magnitude of the impact on the Brazilian regulation on our EBITDA. Bertrand stated it again based on the worst legal case scenario, that's the one that we reinstate for '26. And then that's the way we compute what will happen to our free cash flow. So on that part, we said it in November. We estimate that more or less 85% is operating revenue and the rest is coming from the other revenue. So then if I compute the float, which is touched the other way around, knowing that our interest rates are around 12%, a little bit more in Brazil, you'll be able to go to quite a sensitive amount in terms of missing float that we will lose from Brazil. Another way to look at it is to start from the volume of float that we have in Brazil. In Brazil, remember, that 20% is coming from Latin America of our float and Brazil is 3/4 of that. And then we have a bit of a big part of it, which is on the merchant side because Brazilian people used to consume their vouchers a bit faster than it is happening in Europe. And then the vast majority of our float is based on the merchant delay. So then you cut that by half of it and you'll compute almost the same figure, which is going really to hit us. So that has an impact. And obviously, as we said, on free cash flow, you will lose both the EBITDA part and that float part. And remember also that what we stated to Capital Market Day is that mobility growing and mobility having a very slightly negative working cap position. Then on average, we expect it to go to 65%, meaning that the starting point that we expect to see also for next year is also touched by that. That being reinforced by a mix where you have less benefits and engagement and more mobility, mobility has no impact of Brazilian and Italy regulation. So that's what it did. Just maybe to help everyone call on that, it's a 1-year effect. You will have to suffer into brackets the working capital variance once. And after that, we'll go back to a usual cash generation ratio. And that's what we reinstate with our guidance, what we see for '27 and '28, assuming '26 is taking the impact is that we go back to the 65% cash generation ratio because we won't have to absorb twice working cap variance.
Operator: The next question comes from Kate Xiao from Bank of America.
Kate Xiao: My first question is still Brazil. I guess if my understanding is correct, if there's going to be an unfavorable ruling at the end of the day, that decision is only going to come towards end of 2026. Then why are you still holding your 2026 guide of the full impact? Is it because if there is a more negative decision, it could be applied retrospectively to the full year of 2026? And my second question is, I noticed you used to disclose the benefits and engagement section take-up rate. It was 5.6% in 2024. Just wondering what the latest rate is for 2025. And obviously, let's say, in 2026, there's still going to be some impact from the full impact of Italy and Brazil. If we assume both markets, it's fully -- the impact fully happens and it's fully derisked, what would that take-up rate look like in that normalized environment?
Bertrand Dumazy: Okay. So let me take those 2 questions. Yes, your understanding is not correct. So let me repeat it. Today, the presidential decree is not applied, and it was supposed to be applied starting February 11. It's not applied as of today. Why? Because we won the first part of the legal battle, and we are not the only one because out of 12 issuers that went into court, 9 of them won and the other ones are waiting for their appeal. So it is not applied. The government has made an appeal with a federal judge. The answer of the federal judge can come as soon as today or tomorrow or even 1 month. So waiting for the answer of the judge, the decree is not applied. But if the judge is giving reason to the State, then we will have to implement the decree. But if the judge doesn't give right to the State, the State has multiple ways to go for an appeal and the appeal could be suspensive, i.e., the implementation -- the decree would have to be implemented. So to make a long story short, as long as we don't have the answer of the federal judge, the decree is suspended. As soon as the decree might not be suspended, then the next step for us is an answer on the merits of the decree, and it's going to happen by the end of 2026. That's why we don't know. And because we don't know, every day that goes without the implementation of the decree is a good news. So you will see us probably if it takes longer, you will see us more on the top of the bracket than on the bottom. So that's how it works. And I hope my clarification is helping you. Your second question is as to, in fact, the take-up rate. In fact, the take-up rate is a notion that makes less and less sense for Edenred as we explained during the Capital Market Day. Why? Because the take-up rate is a percentage on the transaction. And as you can see, we are providing more and more services that do not have anything to do with the amount of the transaction. So if you think about engagement, it has nothing to do with the amount of transaction. If you think, in fact, in terms of maintenance services in mobility or telematics, it doesn't have anything to do. So when you look at the Beyond part, which represents more than 40% of our total revenue today, the vast majority of Beyond is decorrelated from, in fact, the value of the transaction. That's why we are moving to measurement that are much more the average revenue per user and the number of users. Having said that, to make the link between the old Edenred and the new Edenred without the impact of Italy, the take-up rate would have increased in 2025 at Edenred.
Operator: The next question comes from Pravin Gondhale from Barclays.
Pravin Gondhale: My first question is on free cash flow. The 2025 free cash flow conversion was very strong, and you sort of flagged that you benefited from the stronger float position at the year-end. Do you expect a part of that to reverse in 2026 and hence, the guidance of greater than 65% FCF conversion, excluding Brazil regulations is kept unchanged? What are the dynamics here? And then secondly, on the operating EBITDA margins, they were quite strong in 2025. Can you help us understand the moving parts of that margin progression between what's recurring and you expect that to happen in 2026? And what is -- what was -- what were sort of the one-off majors in 2025?
Bertrand Dumazy: Pravin, thank you for your question. I start with the margin, and I'll let you work on the free cash flow, unless you want to do the margin, Virginie. Okay. So I go for the margin. So first of all, in 2026, our operating EBITDA margin and so our EBITDA margin will go down. Why? Because we have to swallow the EUR 60 million, the remaining part of Italy, plus for now, the worst-case legal scenario in Brazil. So our EBITDA and operating EBITDA margin will go down in 2026. After that, you will see both margins going up. Why? First of all, this business is a scale business, i.e., the more you grow, the more you are able to dilute your fixed costs on the revenue that you generate. So you will see the margins going up based on the current plan we have in 2027 and after. So that's how I see the evolution of the EBITDA margin and the operating EBITDA margin. The scale effect is a powerful engine for us to increase our margin. The second thing you will see as a powerful engine is the efficiency program that we put in place. As I said, it's called Fit for Growth. We are now in the Phase 2 of Fit for Growth. And so we have a plan. We have a plan in terms of efficiencies. We have a plan in terms of streamlining certain functions. We have a plan in terms of convergence of platform. I give you one very simple example. By the end of 2026, 100% of our users will be upgraded to our new platform in France. It's a very good news. First of all, from a cost point of view, we will stop the historical platform. So we're going to run with one platform. And if the law is voted in France, there will be no more paper. So today, I'm running with 3 different systems, the paper system, the Edenred platform and the Edenred Plus, the new platform. By the end of 2026, there will be most probably only one platform. So not only it's good for our cost base in France, but it's also excellent in terms of user satisfaction because if you go on the web and you look at the ratings we have on this new platform, you will see that they are absolutely outstanding. So it's a very good thing for, in fact, the churn and a very good thing for the profitability of the business. So based on the scale effect that are natural in our business, plus all the product and performance improvement plan part 2 of Edenred, you will see the EBITDA margin going up after a drop in 2026.
Virginie J. Duperat-Vergne: Maybe I jump on free cash flow. On free cash flow '25, you're right, Pravin, was strong because you have a big movement on working capital element. If you look to free funds from operation, the conversion is very much in line with what we have every year and which is fully in line with our anticipation of a cash conversion rate of 70%. Why do we do not only 70%, but 82% this year in addition to the good EBITDA performance and obviously, a big numerator and denominator at the same time is nurturing your free cash flow is that we have this movement on working cap element, which is an increase in float. So an average increase on volume in float just because we had bigger business volume to start with during the year. In addition, some other elements and especially in Latin America with additional volumes of orders by the end of the year, which pushed the cash up. And also, as I said, some elements around the rest of the portfolio, which is namely the -- what we call other working capital variance and refers to the rest of our business, mobility, for example, or also the headquarter and so on. Bertrand just referred to all our efforts also in terms of negotiation on suppliers and so on. So that has a direct impact on the supplier debt that you have on the face of the balance sheet. But we also have very good cash collections on the side on mobility. Remember, we talked about some missing elements when we disclosed the H1 free cash flow and some cash collection that needed to be back in, and that has been done since then, obviously. So that's definitely helping. And then we have a lot of receivables in various countries in terms of VAT credits to be reimbursed. Here also, you can see that the tax administration in each and every country are progressively digitalizing themselves. And then they become more efficient and then we get reimbursement a bit more in advance. I cannot predict or anticipate whether it will be exactly the same next year in that respect. But part of the positive, depending the way you take the photography at year-end can move one way or the other, and then you might have a slightly better or a slightly lower variance in working cap next year to take into account in the computation of the free cash flow. But really, the guidance on '26 is the elements I described earlier to Justin and the fact that we'll be missing quite a significant volume of float and this volume of float missing will create a decrease -- a strong decrease and movement in our working cap variance that will negatively impact the absolute value of the free cash flow.
Bertrand Dumazy: The cash flow management is well under control at Edenred.
Operator: The next question comes from Andre Juillard from Deutsche Bank.
Andre Juillard: Two follow-up questions, if I may. First one about Mexico. You didn't talk about this market. And could you give us some more color about the trend? And do you have any fears with the actual events? Second question about the leverage. Your leverage is quite low at the moment, 0.9x net debt on EBITDA. Do you have a target in mind just to help us to manage the anticipation that we could have in terms of reinvestment return to shareholders and so on?
Bertrand Dumazy: Andre, thank you for your question. First of all, as to what's going on right now in Mexico, no, we don't have fears. That's part of life. We are in 44 countries. The trends in Mexico are good for Edenred. So in mobility, we have a sustained growth in 2025 and very good prospect, in fact, in 2026. And I'm very pleased by the performance of the new CEO of Edenred Mexico in Mobility. As to benefits, we also have very good perspective with the success of the deployment of Edenred Plus in France. In fact, we started a few weeks ago the deployment of Edenred Plus in Mexico. And so we'll come with a new offer, totally renewed, revamped. And based on the good results we have in France, we are very positive for what it's going to mean for Mexico in the coming years. As to the leverage, so yes, we are at 0.9. Do we have a target? No, we don't have a target. We know the maximum. We want to stay strong investment grade. So we know that to stay strong investment grade, you need to be in a normative band that is no more than 2, 2.5. Then you have a period of grace depending on the acquisitions of 18 months. So more or less, we are well, let's say, capped on the maximum. As to -- in between, in fact, it's a very good news for Edenred to be at 0.9 because it gives us all the flexibility to accelerate our investment for the future growth of Edenred. It gives us a lot of flexibility to continue acquiring some companies in buildup or bolt-on with the same financial discipline in terms of strategy, but also in terms of return on investment. It gives us flexibility, for example, in EV, it's a growing trend in Europe. We have some successes. We started with the acquisition of Spirii. The market is moving fast. We are seeing opportunities every day. So maybe that's another thing where we could continue to invest. So we love the idea that we are very well deleveraged because we can fuel the organic growth, but also the very targeted growth in M&A to enrich our offer and consolidate our leadership position. Finally, we want to continue to have the progressive dividend policy and share buyback. So with the balance sheet we have, Edenred is well in order to accelerate the growth to go over the year 2026 for 2027 and 2028.
Andre Juillard: Just maybe one follow-up on France.
Bertrand Dumazy: It's really the last one, Andre because...
Andre Juillard: Did you have recent discussion with the government about regulation in France or nothing.
Bertrand Dumazy: Okay. Very quickly, the association of the issuers obviously met the ministers in charge. Their willingness is to push for a law voted in 2026. They have a preference for the first half of the year, but it's going to depend on the calendar. So to make a long story short, the current government is exactly on the same page as the previous ones. They want the reform to be voted because we think it's a good thing for all the workers in France to have, first of all, the end of paper and second thing to have a clarification on the usage. So we have today ministers who want more Ticket Restaurant in France. Once again, the penetration in France is only 28%. So as compared to many other countries, the penetration is not that high in France. So they all want more Ticket Restaurant solutions in France, and they want the law to be voted along the lines I just shared with you. Thank you, Andre. Thanks a lot for all your questions, and I wish you a very good day.